Operator: Good morning, everyone. Welcome to the Moving iMage Technologies Fiscal 2025 Year-end Conference Call. [Operator Instructions] Please note, this conference is being recorded. At this time, I'll now turn the call over to Chris Eddy with Investor Relations to begin the conference.
Christopher Eddy: Thank you, operator, and good morning to everyone joining today's call. Moving iMage Technologies' CEO, Phil Rafnson, will open the call with an industry overview followed by a business update from President and COO, Francois Godfrey; and then CFO, Bill Greene, will conclude with some financial highlights, after which we will open the call to investor questions. Today's conference is being recorded and an audio replay and written transcript will be posted to the Investors section of the Moving iMage website in the next few days. As a reminder, except for historical information, the matters discussed in this presentation are forward-looking statements that involve several risks and uncertainties. Words like believe, expect and anticipate mean that these are our best estimates as of this writing, but that there can be no assurances that expected or anticipated results or events will actually take place. Actual future results could differ materially from those statements. Further information on the company's risk factors is contained in the company's quarterly and annual reports filed with the SEC. I will now turn the call over to Moving iMage's CEO, Phil Rafnson.
Philip Rafnson: Thanks, Chris, and thank you all for listening today. A few of the major exhibition companies, including AMC and Cinemark noted a surge in consumer demand and box office momentum in their remarks to investors last month. That box office momentum is the primary source of our optimism for new business opportunities over the next year as demand in our business is typically preceded by box office strength over the previous 6 to 9 months. To state the obvious our customers are generally better positioned to invest in critical systems upgrades when experienced strength in their businesses and business outlook. The domestic box office saw a substantial rebound in the June quarter, drawing in approximately $2.6 billion in revenue, representing a 37% increase over the year ago period. This increase was driven by a dynamic mix of titles, including family-friendly blockbusters, a Minecraft movie and Lilo & Stitch and the darker and equally well-reviewed Sinners. This variety of movie styles and tones is important for a few reasons. In addition to gross revenue achieved, it demonstrates that a wide variety of audiences will turn out for compelling and immersive content. While August and September are historically lower months at the box office, the outlook for ticket sales over the period of 2025 remains upbeat with approximately $9.4 billion in total domestic revenue expected for the full year per analyst consensus, supported by major year-end releases, including Zootopia 2 and the next installment of Avatar. Our customers are committed to maintaining and enhancing their theaters and auditoriums to continuously elevate their guest experience with elite, sight and sound technologies. We've identified the addressable market for our existing base products and services and are laser-focused on the tactics to convert these opportunities into revenue over the coming year. At the same time, we continue to pursue a major strategic goal, which is to reduce our exposure to the business cycles inherent in the cinema equipment industry and to find opportunities to build on our existing base of more predictable and recurring business. MiT's deep experience and strong track record of performance put us in a leadership position to execute cinema technology and upgrades, build-outs and special projects. Now I'll turn the call over to Francois Godfrey, our President and COO.
Francois Godfrey: Thank you, Phil. Our marketing plan continues to focus on building brand visibility and driving qualified sales leads through a strong presence at key industry trade shows. Our attendance last month at both CinéShow in Dallas and ShowSouth in Atlanta gave our executives great opportunities to exchange ideas, develop new relationships and promote our best practices, capabilities and competitive strengths to create new revenue opportunities for MiT. The overall mood at these events continues to be cautiously optimistic with attendees acknowledging near-term challenges such as cost pressures and uncertain macroeconomic factors, along with the growing urgency to complete cinema technology upgrades to deliver best-in-class customer experiences while also preventing the risk of costly downtime from equipment failures. Our sales and engineering leaders are hard at work highlighting our capabilities and accomplishments as a trusted and innovative cinema technology partner that can meet their requirements across the country. The growing array of digital projection and audio options, each tailored to the unique attributes of individual auditoriums creates significant facilities management challenges for exhibitors of all sizes. This is exactly where our expertise and experience deliver substantial value. Building international channels represents another opportunity for Moving iMage's long-term growth and as part of our strategic growth plan. As a result, we are actively identifying and evaluating complementary products or services to expand the scope of our business and our geographical reach. Given our industry experience and capabilities, we are confident we can add value, helping international exhibitors enhance their businesses and their customers' moviegoing experience. Installing new projection and sound equipment is a complex process that extends well beyond simply swapping out old hardware for new. Each auditorium has unique architectural and acoustic characteristics that must be carefully accounted for to achieve optimal image and sound quality. Projection systems require precise calibration for brightness, contrast and alignment to the screen, while sound systems must be designed, installed and commissioned to deliver consistent clarity and immersive effects to every seat. Integration with existing infrastructure adds another layer of difficulty as technicians must ensure compatibility with electrical, HVAC, seating layouts and digital control systems. These factors demand close coordination between equipment vendors, installers and theater operators to ensure a seamless upgrade that meets both technical standards and audience expectations. MiT excels at managing complex challenges such as lead times and staging while consistently delivering quality on time and on budget. This ability is the primary reason clients have relied on us for 22 years. Our fourth quarter was negatively impacted by some customers pushing project activity into future periods. Though we remain hopeful that current customer dialogues will evolve into additional concrete projects in the coming quarters, we expect to provide details on our new business progress and outlook as the year progresses. Our Q4 2025 revenue of $5.88 million was slightly ahead of the outlook we shared in May and a solid sequential improvement from Q3 2025 revenue of $3.57 million, reflecting seasonality in our business. Turning to our Q1 2026 outlook. We have found that lingering macroeconomic headwinds and a more modest rebound in box office performance has caused many customers to delay the timing of technology refreshes and other investments. Our pipeline of projects for the balance of calendar 2025, which is our second fiscal quarter includes the remodel of a 7-screen theater complex for an operator with whom we continue to expand our relationship. We are also in dialogue with large regional exhibitors to provide premium cinema equipment over the next 12 to 24 months and beyond. Depending on their spending outlook, we hope to be in a position to provide more details on these and other potential projects in the coming months. Today's moviegoers expect a high-quality immersive audio and visual experience at an accessible price. We are proud to play a central role in enabling this through a modern ecosystem of advanced and emerging technologies, all designed to elevate and enrich the cinema experience. We believe MiT is well positioned to navigate the opportunities and challenges of our industry to pursue growth and profitability. Key to this effort are our ongoing cost management and cash preservation disciplines intended to ensure Moving iMage has sufficient resources to navigate our constantly evolving marketplace. Now I'll turn the call over to Bill Greene, our CFO, to address some financial highlights.
William Greene: Thanks, Francois. We published our financial statements in our press release this morning and expect to file our Form 10-K by the end of business this afternoon. I will touch on a few of our financial results and gladly answer any questions during the Q&A session. Q4 2025 revenue declined 7.3% to $5.88 million versus $6.35 million in Q4 2024 due to reduced customer project activity in the recent period. Gross profit dollars decreased to $1.2 million in Q4 2025 versus $1.43 million in Q4 2024 due to lower revenue and gross margin. Our Q4 2025 gross margin was 20.4% versus 22.5% in Q4 2024, reflecting normal variability in the mix of product and service revenues and their related margins. We were able to reduce Q4 2025 operating expenses by 26.5% to $1.39 million compared to $1.89 million in Q4 2024. This improvement was achieved by reducing headcount and related compensation costs, greater efficiency in our selling and marketing activities and lower costs related to being a public company. Our cost management initiatives have allowed us to move forward and seek further bottom line improvements. As a result of these efforts, Moving iMage recorded a Q4 2025 operating loss of $187,000, a substantial improvement over Q4 2024 operating loss of $462,000. Net of interest income, we also reported an improved Q4 2025 net loss of $156,000 or minus $0.02 per share versus a net loss of $416,000 or minus $0.04 per share in Q4 2024. Turning to fiscal year 2025. Revenue declined 9.9% to $18.15 million versus $20.14 million in 2024, principally due to reduced customer project activity, and we are proud to note solid improvements in gross margin and operating expenses. Our gross margin percentage improved to 25.2% in 2025 from 23.3% in 2024, benefiting from our focus on higher-margin product and product opportunities as compared to the prior year. We were able to reduce 2025 operating expenses by 9.3% to $5.65 million versus $6.24 million in 2024, driven by more effective use of selling and marketing expenses and lower public company compliance costs. Moving iMage recorded a 2025 net loss of $948,000 or minus $0.10 per share, improving on our 2024 net loss of $1.372 million or minus $0.13 per share. Turning to our balance sheet. We were able to grow our net cash position to $5.7 million or approximately $0.57 per share at the close of 2025 compared to net cash of $5.3 million a year ago, and we continue to have no long-term debt. Year-end working capital was $4.3 million, putting us in a very solid position to fund our business. While we do not provide financial guidance, we currently expect revenue in the second half of 2026 to be stronger than revenue in the first half, largely due to our current window on customer projects and decision-making and anticipate revenue of approximately $4.9 million in Q1 2026. In conclusion, through our margins and cost structure, we are pleased with the progress we have made. We hope to make further progress on these key metrics for Moving iMage's future profitability. Given our operating structure improvements, combined with our active business development efforts, we hope to create stakeholder value through consistent growth and profitability. With that overview, operator, we are ready to begin the Q&A session.
Operator: [Operator Instructions] We have a question from Neil [ Fagan ] who is a private investor.
Unknown Attendee: I've been a shareholder and followed your company for a couple of years now. I wondered if you could kind of describe the magnitude of your funnel of new opportunities, projects that have not been signed or announced but are in process. What does the size of that funnel look like today compared to the beginning of the year, January?
Philip Rafnson: Francois, can you answer that?
Francois Godfrey: Well, it's -- can you repeat the question again in terms of the timing?
Unknown Attendee: Well, I just wondered when you look at your funnel of new opportunities, projects and so forth across the whole product category, when you look at the number, the size of the new opportunities that you're in various stages of working with customers on, how does it compare to the beginning of the year? Is it about the same size? Is it larger? Is it smaller?
Francois Godfrey: It continues to grow and evolve. So we're -- we have a positive outlook as customer activity continues to grow.
Unknown Attendee: Okay. And let me ask you about a couple of components of that. There was a lot of optimism around the LEA power amplifiers. I believe we have exclusive rights. We had a number of large displayers testing those amplifiers. There really hasn't been much news about them. Could you kind of give us just a brief update? Is the optimism still there that they're going to start being a major contributor to revenue? Or have you run into unexpected headwinds?
Francois Godfrey: No, we are still positive with regards to LEA Professional amplifiers to enter into the operational structure of larger organizations. It goes through a lengthy testing process. And then once approved, then they're put into their operational sequence for purchasing. So we are still on track for that. The sales arc in cinema tends to be long because of that operational testing and so forth. So we are still optimistic with regards to the adoption of LEA with major exhibitors and medium and small exhibitors. And we continue to grow that portfolio in our current sales.
Unknown Attendee: Okay. And if I'm correct I believe at the beginning of the year, there are a number of large sports venues and stadiums being completed, being refurbished around the country. And I think we were in the running to get a lot of -- well, some of the work at those various facilities in terms of our legacy Caddy line. Can you give us just a quick update there? Are we still kind of in the competitive process for some of those? Or what can you say about that? I'm just curious because I know that a single large sports venue can be, I believe, a couple of million dollars of business.
Francois Godfrey: Yes. So we are still actively in bid on various projects.
Unknown Attendee: Okay. Is the timing of those something you would expect over the next 12 months in terms of where those structures are in build-out?
Francois Godfrey: I'm not prepared to comment on that at this moment.
Unknown Attendee: Okay. And if you'll allow me, I'm glad to get back in the queue, but there usually aren't too many people on the line. It's rather impressive that you've got an $8 million to $9 million annual recurring revenue base. Could you just talk a little bit about what that primarily consists of? And do you expect that recurring revenue of $8 million to $9 million to steadily grow over the course of fiscal 2026?
Francois Godfrey: Those products consist of operational items, and it's dependent on our customer base. As we grow our customer base, we can see that increase, but it won't be -- it's not a -- it is dependent on the customer base. And as we grow our customer base, we can see that grow, and we intend to grow the customer base.
Unknown Attendee: And are the margins on that above or below your kind of corporate average of 25%? Is it higher-margin work? Or is it lower margin work or kind of right in the middle?
Francois Godfrey: I'll allow Bill to speak to that point.
William Greene: Yes. I would say it's customer-specific and product-specific. But in general, it should be kind of in the middle there as high-margin and low-margin products even out with each other. So it's a predictable revenue stream and predictable margin stream.
Unknown Attendee: Okay. Well, that's great because I mean it's a very large percentage of your annual revenue, so investors love recurring revenue. And listen, one final question. You guys have mentioned opportunities outside the U.S. for quite some time. And I just wondered, can you give a little more clarity? The first thing I'm curious about, are you talking about going into areas outside the U.S. through partnerships and distributor agreements? Or are you talking about putting Moving iMage people on the ground in offices there? And [indiscernible] I mean when are we expecting to see meaningful revenue that you would break out in these calls coming from outside the U.S.?
Francois Godfrey: I'm not -- we can't discuss any timing at this point. We continue to look whether it's products or services. And if it warrants having people outside the U.S. MiT employees, we will do so.
Unknown Attendee: Okay. And is it a longer thing? Should we be -- shareholders be thinking, okay, this is a calendar year 2027, 2028 opportunity? Or are you guys hoping to start generating some level of revenue in calendar 2026?
Francois Godfrey: We're actively pursuing opportunities, and I won't speak beyond that at this point.
Unknown Attendee: Okay. All right. Well, listen, I appreciate you taking my call. I hope you guys can get out and with the improved environment, build a new audience of interest in the company. It's still grossly undervalued despite the modest move.
Francois Godfrey: We thank you for being a shareholder, and thank you for your questions.
Operator: Thank you. At this time, this does conclude our question-and-answer session and will also conclude today's conference. You may disconnect your lines at this time. We thank you for your participation, and have a wonderful day.